Eoin Ryan: [Presentation] Good evening, good afternoon, and good morning to you all, and thank you for joining the results call for Prosus. We're delighted to have you here. We are coming to you live from our backyard in the London office. And we've put all of our results on the website this morning. We've put a video on there with an extensive presentation. So hopefully, you have gone through those already because we're not going to spend too much time on that today. We're going to get straight into Q&A. And Abigail, would you mind taking the audience through the instructions for Q&A, please?
Operator: [Operator Instructions] I will now hand over to Fabricio Bloisi.
Fabricio Bloisi: Hello, everyone. Welcome to our results call. I'm happy to be here with you sharing a little more about what we are doing. That is exactly 1 year, a little less to complete the first 1 year as Prosus CEO. I'm very excited about the moment now. I'm excited because of the results that you saw today. I'm happy that I promised you $400 million and delivered $443 million. So it's a good start. I'm happy with the increase of dividends of 100%. It's a good start. My opinion, there are still small numbers. They are going to grow a lot, but it's a good start. But I'm more excited about the momentum of the company, about how the company is behaving. I told you 6 months and 1 year ago about the importance of the culture, what means people being more entrepreneur, solving problems faster, communicating inside the company faster. So the company today is moving in a speed that is very exciting. We are solving problems faster. We are innovating more in thinking about the future. So I'm really excited about the next 2 or 3 years. Unfortunately, talk about the next 2 or 3 years is going to be in our Capital Markets Day in today. So hope to see you there and hope to answer all the questions we have for today. So let's go.
Eoin Ryan: I would say it's fortunately, it's going to be there in 2 days at the Capital Markets Day. So look forward to see you there. So thanks for laying the groundwork there for us. I'm going to ask a couple of questions before we kick it off to the group. Nico, I'm going to start with you. So it's great to see that we've had a focus on growing profitably, driving revenue and having that fall to the bottom line. What do you see as the opportunity for some efficiencies to drive profitably on the cost side?
Nico Marais: Thank you for that question. I think growth has been very important to us, and we've delivered by growing 21% in the last year, 2x faster than most of our peers. But most importantly, that has translated into some excellent operating leverage for most of our businesses. Two examples that I can give. One is if I look at our iFood business, especially the core restaurant delivery business, now achieved an adjusted EBIT margin of 28% on the back of the 50% revenue growth that we've seen in that business. Likewise, OLX, our online classifieds business, that has grown its top line by 18%, but profits by 61% over the period. So clearly showing that we have efficiencies and scale in this business that allows us to grow both profitability, but as well as free cash flow, which is very important. Also on the corporate side, we -- 1.5 years ago, have moved away from our old segment structures. And through that, we've -- able to maintain and manage our corporate cost well. That has declined by 1% over the last year. So I think if I look forward, there's significant opportunities for us to grow. And as we've illustrated in the past year, we can still improve margins and there's some additional operating leverage to come through for most of our businesses. So that quite excites me about the future.
Eoin Ryan: Great. Great.
Fabricio Bloisi: Let me shed based on what Nico just said. When we talk about AI disruption, we are also talking about increasing efficiency of operations. And I think a lot of the increase in our results is related to strong innovation. And just to complement, you said we reduce it by 1%. I think no -- I intend to reduce 10x more our corporate costs and our costs. We have to keep being a very, how can I say, aggressive company in terms of being the cost -- have the cost -- the central costs very control.
Eoin Ryan: Great. Look, I think certainly for people internally, unless you've been sleeping under a rock, there's been a clear pivot in the strategy. We're now focused on having Prosus become the #1 lifestyle e-commerce brands in LatAm, Europe and India. Fabricio, as you think about that and you look at 3 years out, what defines success for you?
Fabricio Bloisi: Great. First, I think we start in a nice position. For example, in Latin America, what we have now is iFood, leveraging iFood Pago or fintech business, these 2 foundational business with high frequency, helping commerce with OLX, travel with Despegar that we completed the acquisition and events with Sympla. This is a very nice flywheel where we have -- we share knowledge, we share customers, we share growth. It's starting really to work in Latin America. So when I look a few years ahead, we have an amazing benchmark in Latin America that is Mercado Libre. I think we have to have the size of half of Mercado Libre, at least I think thinking big is to have another Mercado Libre, not in terms of competing with their products because we are more focused in lifestyle, e-commerce, not real box delivery. But that's the size of the opportunity, I believe we can build in Latin America. If we look here in India, the big thing today is integrating more our investments. We have PayU the foundation. We have Swiggy also, as I just said, high-frequency payment and food delivery of the foundation. But we have many other amazing business on top of that like Meesho or Urban Company. I believe in a few years, we are going to be generating a lot of synergies between those business. We are already generating [indiscernible] to talk more about that, but there will be much, much, much more to create a real big tech group and ecosystem in India. And in Europe, we are just getting started. Obviously, we have good business on OLX and eMAG on eastern Europe. But I think in 3 years, we are going to be strong in all Europe with a very strong ecosystem where we have customers all around Europe using all our applications. Today, hopefully, it will be not only these 3 businesses, but other business that we may add to our flywheel. Because we are moving very fast, innovating a lot with a great culture of execution and entrepreneurship, I'm quite confident we are going to build that. Let's go for that.
Eoin Ryan: Look, I think one of the things that's been most apparent at the company is a change in the culture, right? It's a focus on impact. You see today results, innovation. And Nico, maybe this one to you. I think there's definitely more increased transparency, right? And we're seeing a discussion of EBIT and EBITDA. So maybe if you could give us a little bit more like what's driving that?
Nico Marais: So just on our key financial metrics, just to remind everybody, the key things that we focus on revenue growth, obviously, very important. Adjusted EBIT in our key profit metric for a long time. And then core headline earnings, which captures everything that we have in the group, including our key associates, like Tencent, in terms of the bottom line operational performance. And then lastly, our focus specifically also on free cash flow generation. So those metrics remains unchanged, and we'll continue to focus on them and drive them forward to improve them. In order to improve just comparability with many of our peers and also focus from mostly the analyst community on adjusted EBITDA, we have also provided that information to the market with a clear reconciliation between adjusted EBITDA and adjusted EBIT.
Eoin Ryan: Great. I just got a text from my wife who said, I'm making this call about me for asking too much questions. So I'm going to open it up to the audience right now. First, we have Cesar.
Cesar Adrian Tiron: Can you hear me?
Eoin Ryan: Yes.
Cesar Adrian Tiron: Congrats on the results. I have 2 questions, if that's okay. One for Nico and one for Fabricio. The first one for Nico, I'd like a clarification on your M&A firepower. How much do you have today in terms of M&A firepower, assuming Tencent stock price is HKD 500 and unchanged commitment to your investment-grade policy? That's the first one. And then for Fabricio, you've talked a little bit about it, but I wanted to understand a little bit better what are the 3 biggest changes you've made to the organization since you assumed this role as a CEO?
Nico Marais: Cesar, thank you. Let me take the first one. So we ended the financial year at the center, about $17 billion of cash. As you know, we have the commitments relating to the Despegar transaction, which we closed in May, therefore, subsequent to our year-end as well as the Just Eat acquisition that's still being executed. So that's a commitment of about $7 billion. If you knock that off, it leaves us about $10 billion. We've received about $1 billion, just $1.2 billion actually from Tencent as a dividend in early June. That leaves us with on a pro forma basis at about $11 billion of cash that's available for -- to be used. You ask in relation to our investment-grade rating. At the current HKD 500, so it's a snapshot in time view at the current HKD 500 share price, essentially, there's no offset against that relating to our credit metrics. So the full amount is in theory available. I think we've also been clear that currently, we focused on -- we've just completed the Despegar transaction to make that better, bring it to support that business, bring it into our LatAm ecosystem. And then the focus will obviously also shift to the Just Eat acquisition. So those are our key priorities that we focus in the short to medium term.
Fabricio Bloisi: Three things that changes in the company. Thank you for the question, Cesar. Look, the first thing is culture. And it's a funny thing I go to meetings with investors. Many investors doesn't like to talk so much about culture or these funny things. I think you are wrong, you should spend more time talking about that. We became a tech company and tech company has one big asset, these people. So when I talk about changing culture, we are talking about moving faster, communicating more openly, dream big and communicate the dream with everyone. Some of you can think, okay, so you're nice to make this motivational speech, what's the impact in the company. Actually, the increasing results that you are seeing is the impact in the company because I have now 30,000 people going in the same direction, people collaborating more and being more aggressive on what they should do, when they should do, why they go -- they should deliver things very fast, why they have to play to win in what we are doing. So I think we have a more aggressive culture to create and build the future, and this makes all the difference. I will tell you one more thing, $443 million is a good start. Yes, come on, it is small. It's going to be much bigger, because of the change in culture, because I have now 30,000 people that says that believe we are going to do much better in the next 1 year, and we will. I hope I share much more with you on Wednesday. So the culture is a big change, the momentum and how people see the company is very big, a big change. Two other things to reinforce is a change in terms of innovation and ecosystem. So first, innovation. I don't think there is over hype on AI. I think that is under hype on AI, innovation with discipline. I hate to overpay because you saw a nice PowerPoint on AI. But there will be so much transformation. There will be trillion companies that are going to use AI to redo every segment from your segments of investing from how we do travel and food and everything else. We have to lead on that, probably the leaders in this area are going to be in Silicon Valley, yes, but we can create global leaders in Latin America, in Europe, in India. And I believe we can create as big as company if you are winning on these 3 areas than the Silicon Valley company. So this is a big, big, big opportunity. And the company is really talking about innovation every day, how we are going to be the best in the world. On Wednesday, we talk about large commerce model, how we train AI models. We use open source reasoning models to fine-tune open source models to insert in a model all the knowledge of the company. Very few companies in the world are doing that, very few. That is 5 or 10, that is, but we are in the cutting edge of the innovation, doing that in Amsterdam in Brazil and sharing that with all our companies. And the third one is talking about ecosystem. We talk about ecosystem. If we want to invest, does this investment helps our ecosystem? We share information internally all the time. So the company is more efficient, is moving fast and innovating more. That's why I'm confident in the next 6 months are going to be better than the last ones.
Eoin Ryan: One of the best examples, I think, of culture driving results and growth is the story you tell that iFood when below 10 million orders, you said we're going to 100 million. And most companies, [indiscernible] well, how would we do that, but there's an expectation of success that's driven by the culture, which I think is really interesting.
Fabricio Bloisi: The culture define big goals and run for that. The big goals we are discussing here are bigger than everything that you are seeing from outside. It's funny some people say, it's good. It's good to grow many times, many, many, many times. We are going to show about that on Wednesday. So we are playing for win. We are aggressively playing for win. And the results of that are improving the results that you are seeing.
Eoin Ryan: Great. All right. Let's go to Will Packer, please.
William Henry Packer: Firstly, could you -- good to see you. Could you update us where we stand on the JET regulatory review and whether there are any indications of complexities around your ownership of a large stake with [indiscernible] of Delivery Hero? And could you share us with the perspectives of your advisers and how they see that risk? And then secondly, a kind of more wide-ranging question. So we've heard a lot about how generative AI can boost processes growth outlook. Within Tencent -- from Tencent, we've heard about ad targeting boosting ad revenue in the short term, then agentic AI and WeChat or faster content creation driving more engagement and monetization. In terms of tangible benefits for your ecosystem, is it that -- and the integration and synergy between them, is it improved targeting and monetization of consumers to use the data lake? For example, classifieds and food delivery typically haven't been considered synergistic? Or do I have to wait till Wednesday and I hear about it?
Fabricio Bloisi: You have to wait Wednesday.
Eoin Ryan: Yes for both.
Fabricio Bloisi: Just kidding, the first one, let me tell you good news first, not good news only, but say, compliments. I complained a lot about European Union in the past. I told them that they have the wrong way to look at tech. I think they are trying to avoid big tech at all cost and preventing everything. And I think this view that was there for the last 10 years is completely wrong because they avoid companies to grow in Europe, but then Europe is consuming the technology done in California in U.S. and the world is decoupling now. So I think it was a quite bad strategy. You heard me many times about that. But what we interacted with the European Union for the last 1, 2 months in the first phase of the discussions. And I want to make a compliment that they were very fast. They asked a lot of data, but they answer -- they ask for more data, they process the data very fast. So things moving fast. I was very happy about that because everyone without exception said we were doing a mistake to invest in Europe is a mistake because it will take 2 years to answer you. That's not what happened. We spent -- we are talking very fast all the time. But I think it's an amazing signal. I think Europe, the last 5 -- 4 months was very different than the Europe 1, 2, 3, 4 years ago. Therefore, I am very optimistic as I usually am, but I have this data point -- this new data point. Because we moved very fast in this first share of data, we filed today, our formal request for moving on with the Just Eat approval to [indiscernible]. This is substantially ahead of the original time line that most of lawyers thought we would go. That's great news. That said, we filed it today, we are in the middle of an official process. I obviously will not comment anything related to Delivery Hero process because today, we started an official process. The great news, in my opinion, is Europe knows that they need to move faster in tech, and I'm still confident that we are going to have this deal approved fast because it is very good for Europe to have a bigger tech player, European tech player investing in European companies. So I'm confident we are going to keep moving fast.
Eoin Ryan: And the second question was on the role of AI and propelling our ecosystem. You said from the outset, it doesn't look like a finance company and a class company would necessarily be in the same ecosystem.
Fabricio Bloisi: Yes. And he gave us an example of someone doing that. I don't know. Okay. So answering this question, we will talk a lot about that on Wednesday. So don't miss our Wednesday event. What we are doing exactly is creating new ways to predict behavior for the customers. When you talk about large commerce model, it's exactly what you just asked about. Can we use the new technology approach of using a reasoning model, train this reasoning model, fine-tune this model to understand behavior. The answer is yes. We are doing that. We take unstructured data from different companies, and we can train a model that can talk -- he doesn't know the name of the customer, but he takes 1 trillion transactions for all the customers. And you can say, I know this about this customer. When I say 1 trillion transactions, it's everything from customer support to interactions, what they bought, what they don't bought, what time they enter, what message we received, what [indiscernible] everything. You see before the current technology with language models, it's very difficult to integrate, very difficult to integrate a food delivery company and [indiscernible] travel. But now we can integrate because the language models, they integrate everything. So we integrate reasoning language models, all our data, and we have something that is proprietary because it's using all our data and we can predict better demands from the customers. That's what we are doing. We are going to share a few results and demos on Wednesday, and we are confident that this is one more competitive advantage. And I think we are ahead of many people in moving competitive advantage. If some of you think, so that's what I think is going to move us to create the next $100 billion. Yes and no. Yes, this is going -- I think we are ahead, we are going to be ahead for some time. But even more important, we have a company that is moving fast on innovation, much faster innovation. We have 30,000 people that are creating new models and technology faster. To win as a tech company, we have to do that over time because reasoning models is a big thing today. It will be a different thing in 1 year. And I have -- we have now at Prosus created a culture where we are always moving faster and using new technology. So Wednesday, we show some examples. And I'm confident that we are going to use the ecosystem we have in Brazil and in India, and in future in Europe as a competitive advantage because of our data and our forward- looking AI approach.
Eoin Ryan: Yes. I'm going to hear a lot from you on that on Wednesday. Great. Thanks, Will. And over to you, Andrew, from Barclays.
Andrew Geoffrey Ross: Two for me as well, please. The first one is on the dividend coming in from Tencent and your attitude towards that. So now that the business, excluding Tencent is free cash flow positive and self-funding. How do you think about using that cash inflow from Tencent dividends going forward? Do you see that as something that you will invest back into the non-Tencent assets? Or is something that could be distributed back to Prosus shareholders over time? And then the second question is on the Meituan stake. Interesting situation, I guess, now with Meituan competing with Delivery Hero in a few markets and now directly with you in Brazil. Just kind of update us your thinking behind that stake.
Fabricio Bloisi: Okay. So...
Nico Marais: Do you want me to take that?
Fabricio Bloisi: Yes, please.
Nico Marais: Thank you, Andrew, for the question. I'll take the first one on the dividend. I think, firstly, in the last few years, our overall free cash flow generation, if you look at it, it was actually in the aggregate, less than a Tencent dividend that we've received. So this financial year, although it's a fairly small number at this point in time still, I think it's an important milestone, as you pointed out, that essentially our total free cash flow number is a Tencent dividend plus the contribution from our e-commerce businesses. And then if we look forward, clearly, our ambition is to continue to grow and then generate even more profits and cash flow. That will allow us to also share that more with our shareholders. And we've taken some steps relating to that by increasing our dividend by 100% or doubling it at the Prosus level. And as we go forward, we clearly will become less dependent on just one underlying free cash flow source. Our ambition is to have significant cash flows from our ecosystems that we're going to build, most notably from Latin America and Europe and India over time. And we'll share that with shareholders.
Fabricio Bloisi: Yes. Andrew, I hope you are happy. We increased the dividends by 100%. So I think it's a good start. We don't think it well, Andrew. We are going to generate billions of dollars of results outside Tencent, beyond. So today, Tencent is $1.2 billion. You can clearly see that my expectation is to generate more outside Tencent. I think Wednesday will share some numbers about the future, but the direction is billions of our e-commerce operations. It's not like a dream result. We are going to -- we have clear plans to get there on a few billions of results outside Tencent. So don't think small, don't think only in the Tencent dividend. We will have built much more than that. Your second question was Meituan is entering in some areas that is competing. That was the question, I think.
Eoin Ryan: And Brazil.
Fabricio Bloisi: And Brazil, yes, I heard about that too, Andrew. Look, our big strategy is to invest more in companies that can reinforce our ecosystem, and we are going to keep doing that aggressively. So I think Meituan has less probability of winning internationally, considering the last announced international expansion. They are going to face some tough competition. I would say as a Meituan shareholder, I'm disappointed because I think the risk of failing increase. And therefore, we are -- we might sell part of the Meituan shares if you want to invest more in other areas with more connection to our ecosystems. So for example, if we let's invest more in some business in Latin America that we believe reinforce our ecosystem. We could sell part of Meituan shares or everything that we think is reasonable to invest more in business that reinforce our ecosystem. And we are going to do that looking to our shareholders. If we have opportunities to grow faster and better than Meituan in some of our ecosystems, we will do it.
Eoin Ryan: And it's been precedent for that in the past where we've invested in iFood to save off some competition...
Fabricio Bloisi: So we -- I think they are growing -- the risk of Meituan now in our opinion is over extent -- over reach their international expansion. They did well in Hong Kong and their first Middle East investment, but now they are trying a second Middle East expansion, and they are also trying Latin America at the same time. Let's see, but we are less confident in the international expansion strategy today than in the past.
Eoin Ryan: Okay. Now let's go to Silvia from Deutsche.
Silvia Cuneo: Can you hear me?
Eoin Ryan: Yes.
Silvia Cuneo: I'll also ask a couple of questions. So the first one is referring to one of the slides that you presented on the website showing the ecosystem flywheel with the key categories being food, fintech, commerce and experience. And I noticed that in Latin America and India, the experience slice of the pie looks to be already served by Despegar and Urban Company. But in Europe, that appears to still be vacant. So I wanted to ask if you could comment on whether filling this gap is a key area of priority for future M&A activity in Europe? Or do you envision launching experiences organically? And what specific advantages or challenges do you see with each approach? And then the second question is now that the Despegar acquisition has closed, can you elaborate a little bit on the integration plans you have in place for the first few months? I appreciate this might be something you discuss maybe on Wednesday, but if you could identify some low-hanging fruit that you have, I mean, identified for now? And will you be carving out a new segment for experiences similarly to what you did for EdTech once the segment itself became large enough in the past?
Fabricio Bloisi: Okay. So first, you said, can you elaborate how we are going to fulfill the experience goal in Europe? No. Sorry, Silvia. We are going to do things organically for sure. We are going to do investments on this area for sure. But I don't want you to tell much more what we are going to do because it will make our next moves a little more difficult. What I can tell you on that is I think the big focus on experience now is Latin America. It is the Despegar move. We are going to announce lots of things on Wednesday, not one, but a lot. We closed the deal just 1 month ago. I think iFood is -- I think they are showing 3 to 5 connections already between iFood and Despegar. So I think for a few customers, you can already enter, you can get discounts, buy things inside the iFood. The large commerce model also integrates both of them. We are starting to run the models now. There is 3 or 4 specific cases where obviously, I think we already talked about that. On the loyalty club, we have high expectations of offering travel to our current users. So we are going to get on details on that on Wednesday.
Eoin Ryan: And then on experiences also, if we're a successful ecosystem, it's going to be a combination of owned and operated investment and partnerships, right?
Fabricio Bloisi: Yes. For example, in Brazil, we made a partnership with Uber. So we are keeping the food delivery in many offers, but not the mobility. Uber is doing mobility and not the food delivery. So I think it's the combination of the 3, Silvia. I think the idea behind that is there are ecosystem benefits when we use a high-frequency platform like Just Eat takeaway where people buy many times per month to cross-sell to other services, specifically if you are very good in technology. So our expectation is we have a good expectation that we are going to implement that in Europe. But just before getting back to the next question, my big priority now is to close the Just Eat takeaway deal. So as I told you before, we closed Despegar, very good. I hope you are happy. We did it very fast. I cannot like to do 5 big and complex deals without closing the first one and showing results. Hopefully, we're going to show the first results of Despegar on Wednesday. We will show for sure, but of integration, at least, not numbers yet because it's too new. My next step now is close Just Eat, and then we are going to, after that, look for other adjacencies, but that's not the biggest priority today.
Eoin Ryan: Great. And then Nico, she asked a little bit about whether experiences might become a segment that sell became big enough versus the regions?
Nico Marais: Yes. I think that clearly, we will disclose that separately going forward, so people can track the progress of especially Despegar. And also, I think we will start to share more about how the numbers relating to the various ecosystems are coming together. So we will continue to improve and share more as we go forward.
Fabricio Bloisi: Yes. I hope you appreciate it. We are trying to share more. We are doing more letters with news. We are putting more data in the site. We create a new site with more info. Wednesday, there will be all info possible release it to you. So our intention is we will give you the data and you do whatever you want with that. So I hope you appreciate and we are going to keep that on the Despegar.
Eoin Ryan: And we're doing it -- regard here. So a lot more transparency face-to-face.
Fabricio Bloisi: Looks like [indiscernible].
Eoin Ryan: You are pruning the hedges a little earlier, right? So let's go to the next question from Marcus at JPMorgan.
Marcus Diebel: Maybe just one question for Nico. I mean, clearly, we highlighted this very impressive result in terms of the bottom line, $440 million of EBIT, about $800 million-ish in '26 and then you talk about billions thereafter. So clearly, a strong performance in terms of EBIT. How should we think about the free cash flow? Do you think also then the free cash flow will grow pretty much conceptually at least, pretty much in line with that EBIT number? Or is it -- I mean, it's obviously ex Tencent, which I guess will obviously have its own dynamics. But ex Tencent, can we assume free cash flow follows EBIT very much or even potentially outperforming? That's the question.
Nico Marais: Marcus, thank you for that question. It's an important question. I think, firstly, just to point something out technically. And obviously, the EBIT number is a before tax number. So free cash flow is somewhat depressed because as we get profitable, we do need to pay the government their due as well. But I think if you look at the progression, we improved our adjusted EBIT by just more than $400 million in the year past. We saw very much a similar improvement in free cash flow. Yes, it got to marginally positive, but it's more than $300 million improvement in free cash flow year-over-year for our e-commerce businesses. For that, if you consider the that's an after-tax number as well as sort of working capital elements, you can see that the profitability is very much translating into cash generation. And we expect that to continue. So you point out to our ambition in terms of FY '26, $800 million, which is -- which we'll also talk more about and give more details on Wednesday...
Eoin Ryan: More than $800 million.
Nico Marais: More than -- we'll talk more about that, but definitely, free cash flow needs to follow that same trajectory.
Eoin Ryan: Thanks, Marcus. Now we're going to go to Lisa from Goldman.
Lisa Yang: Can you hear me?
Eoin Ryan: Yes.
Lisa Yang: Two questions, please. So firstly, the -- on iFood, obviously, given significant investor concerns around the Meituan entry, could you maybe confirm how much reinvestment into iFood is sort of baked into especially FY '26 and outer years as well? And do you still think margin can improve from here, obviously, in '25, the margin was quite impressive, but obviously, there is significant competition going ahead. So any color would be very helpful in terms of the trajectory of that margin going forward? And the second one is, could you maybe just comment on the top line growth that you expect for FY '26, so that $800 million plus of EBIT, what is the sort of top line growth assumption behind basically to achieve that? And if you can also comment on maybe the latest environment, latest current trading? Are you seeing any impact especially on the macro environment in areas like OLX, for instance, or eMAG, that would be helpful.
Fabricio Bloisi: Okay. Good. We have to divide here because you make so complex questions in many parts. Margins on iFood. Let me give you a few sense on how things are doing in iFood. iFood was -- had just a food delivery business first. Then we got like -- just a 3P and 1P. First, just the 3P were profitable, now 1P is profitable. The budget for the next year already includes a reasonable number to increase in competition. So we are confident that we are already investing to keep our competitive position. But I want to give you another perspective. There is many other business inside iFood. For example, our fintech business, I think when you are analyzing the company, you don't understand well these numbers yet. I don't know if you're going to share much more details on it. So maybe it's our fault. But we are giving credit to hundreds of thousands of customers. We have a new voucher business with close to 1 million customers now. Both of them are growing. Both of them -- we have the payment business also. So our fintech area is profitable and growing a lot. We are going to launch a few -- we are already testing, but I don't think I could announce it yet, but our fintech area is expanding and the profitability is going to keep expanding a lot. So my point to you is that the adjacencies in iFood are also maturing and our profitability level are increasing because the core food and because the other business around that. If we expect to keep increasing the profitability, I think we will keep growing a lot the profitability margins of iFood. I don't know if we are growing that number or the margin [indiscernible].
Nico Marais: Maybe I need to put some numbers to it. So Lisa, just to help you, in terms of the core restaurant food delivery business, we've already achieved a 28% adjusted EBIT margin. Overall, the iFood business is at 17%, which means we're still investing in areas like the meal voucher, the grocery business, some of the fintech elements, although that has improved significantly. So -- that means that as those businesses get to profitability, there's still significant opportunity for us in the years ahead to improve that overall margin for the iFood business. So I hope that helps you to conceptualize that. Just to get to your other 2 questions, you asked in terms of the revenue sort of expectations that we have that underpins the sort of the profit expectations for next year. And I think we plan to continue to grow at a healthy rate. And I think longer term, we'll talk about those ambitions more as well on Wednesday. But our internal targets are on a blended basis, all between roughly 15% and 20% for the various e-commerce businesses. And then you ask, well, how are we tracking that sort of in the first couple of months of the year? What do we see? I see our business has been ahead of our own internal plans at this stage. We are still showing good growth and the profitability improvements in the first while has continued.
Fabricio Bloisi: I think we shared a quarter by -- half year by half year profitability. Have you shared that yet?
Nico Marais: We have shared half year...
Fabricio Bloisi: So you can see the growth is like very strong if you look every half year. So sometimes people -- many times to say, you did that. So now we're going to be flat or reduced. It is growing like that. 3 months after, it is bigger, and we are ahead of the plan that we had. So we are confident. And I think we are confident because we are executing very well. The level of innovation is great. You asked about competition in Brazil. I want to remind you, iFood compete against other global players with very good results in the past because the service is excellent, the customers love it. The quality of the product is very good. So our plan is to keep playing and keep winning.
Eoin Ryan: I find it's interesting. We get this question quite a lot to Investor Relations, and it's almost as though it starts next year, whereas this is a company that has been playing offense for many years, right? To your point, they build the marketplace, they're building [indiscernible]. Now they're going offline. So it is very much -- they say offense is the best defense. So it's not starting from next year investment. It's been started for many, many years before.
Fabricio Bloisi: I think a few companies has -- is winning as iFood is winning, they become a little complacent because they become like a company that just likes to profit. The level of speed in terms of new product innovation, as I said, the adjacencies related to fintech. iFood is innovating to create the next $10 billion in transactions. What we are doing now in online travel agency. So this is a company playing to be or keep being one of the best operations in terms of stacking in the world, one of the best in Latin America for sure. So having competition is part of life, we expected to keep good margins beside of that. And we already have in our budget some money to this kind of competition. And Lisa, probably we can invest more in adjacency business that can create even more profit around iFood. So we are open to keep looking for opportunities on that. And as I told you, Prosus has more $11 billion to invest. We have more -- many billion dollars in companies that we are invested and we can sell to invest more in adjacency business. So we are going to keep playing for win.
Eoin Ryan: All right. Thank you, Lisa. And then we'll go to Laura from Morgan Stanley.
Laura C. Metayer: Can you hear me?
Eoin Ryan: Yes.
Laura C. Metayer: Perfect. Two questions, please. The first one is a follow-up on the question on Despegar. What is the biggest type of synergy you expect to have between Despegar and iFood? And then secondly, any insights you can give us on the potential crystallization of some of your assets? Obviously, Swiggy IPO-ed recently, what's likely to be next?
Fabricio Bloisi: Okay. On Despegar, I will answer in 30 seconds just because this is like a 20-minute section on Wednesday. So we listed many options. Today, we are running around 5 experiments on creating cross synergies. A few examples, we have a loyalty program with millions and millions of customers, and we are offering discounts on those customers to travel and hotels. But remember, we are not just saying this is a discount. We understand the customer behavior. We have a large commerce model to help to say who is that customer, what they look for. And we are confident we will move on to have good numbers on this kind of integration. There is 5 cases like that, that we are already running that was launched in the last 1 to 2 weeks, but for parts of the base, and we are going to open all of that on Wednesday. So I can reinforce, we are quite confident we have close to 70 million customers in iFood. Despegar is around 6 million in total. So we are very confident we can increase Despegar size because of iFood. But one more thing, we are confident we can increase retention and frequency in iFood because of Despegar, because customers appreciate having benefits in travel and experiences and events. Then I forgot the second question because...
Eoin Ryan: I'd add also to that having more interactions with the consumers is always a good thing, particularly in an ecosystem, which is similar to the partnership with Uber as well, where you get more access to more consumers in our core market. The second question was on our thoughts on crystallization.
Fabricio Bloisi: Okay. I told 7 months ago that we would have around 5 IPOs in the next 1 year to 1.5 years by the end of this year, by the end of this fiscal year, so until March next year. I think our expectation is more or less the same that we already have the IPO, that will be more 3, maybe 4 in the next 9 months. So there will be more public companies. We will have our share part of that because some of them are already filing and already preparing the IPO, I got a strong recommendation, don't say the names of the company and I just check the public market reports from India. But I think -- so I'm not going to say the names of the company. But even beside -- before that, I think we had a thesis we invested in India 5, 7 years ago. And the India thesis is maturing. We have a few winners, not only Swiggy that is public, but the other ones. And we are going to keep updating the list of our listed company that we invested much earlier for sure this year, a few more of them. But I will not comment specifically on any one of them.
Eoin Ryan: Great. Thanks, Laura. And then we'll go over to Nadim.
Nadim Mohamed: Just one question from me. I'd like to double-click on the topic of cultural change again. I mean, in my experience, this kind of change can take many, many years, especially when you're also moving from a holding company structure to an operating structure and you've got many different opcos all over the world. So I'd just like to understand like is there more to come in terms of the cultural transformation? And secondly, with the acquisitions that are going on, I mean, how do you integrate them into that culture? It seems like culture is a big driver of your operational turnaround.
Fabricio Bloisi: Nadim, where are you based?
Nadim Mohamed: I'm based in Johannesburg.
Fabricio Bloisi: Johannesburg, good. I have to send you some gift for Youth Day. It was the first question on culture ever amazing, Nadim. You just won the prize. [indiscernible]. I think you are right, usually it takes a lot of time. When I arrived, I said this is my biggest priority because you can think Fabricio is doing things. Fabricio is pushing to change the culture. But what makes products move faster is 30,000 people moving in the same direction more aggressively. So I was -- we were very aggressive on this change. We are pushing a lot to everyone to say, look, this is a new company. This is the future. This is where we are going. I hope you love it. Many people say, I love it. Maybe you don't love it and you say, okay, part of life, just move on because we are going to be that company very fast. I think I've been very aggressive in this cultural change. I expected to have full results in 6 months. I am a little -- I say, too aggressive. But I think 1 year, I didn't get full results in 6 months. But 1 year after, we are having strong, strong, strong results. We just published last week, I think, a new part -- a new page in our website called the Prosus way. So go there, check the video. We have a half an hour session also main [indiscernible] culture. So I know some analysts doesn't like to see culture in the presentation. There will be half an hour on that, and it is the best part. So, Nadim, I think you are right. It usually takes 2, 3, 4 years. We don't have 2, 3, 4 years. So we're giving much less time. And it's a different company how people look to challenge and move faster every day, everyone. And that's where the results come from. Then you asked how is integration on that. Managing that well is a very important thing for the company. So we invest a lot of time. I wouldn't say integration, sharing the best practice, sharing what is nonnegotiable. So entrepreneurship, moving obsession about results, innovation to create the future and take risk and test things are nonnegotiable. If someone doesn't think that this is amazing, you should leave the company or you should leave the company anyway, one way or the other. But we don't try to say you company being integrated, I don't like the word integration. We don't try to say this is the Prosus, just come here and do the same as we are saying. We needed the entrepreneurial behavior. So instead of integrating, we share amazing practice. We show how -- what is the most amazing results on earth. And people that are entrepreneurs, they say, I'm going to do as good as or better. And that's where it comes the force to keep the company moving faster. So it's not like an integration. It's more like this is what exceptional look like. We expect better than that for everyone else and people are responding. So it's their merit. And that's why I'm confident that the results in the next 1 year is going to be better because the company is moving much faster. Check the page and come back to Lisa about culture. We're going to talk to them about more details on Wednesday.
Eoin Ryan: I think also when you talk about rituals internally, they -- as time goes by, you have more opportunities to talk about the successes you've had and to get together and to reinforce the messages. And I think that builds the culture very well as well. Okay. So we're running out of time here. We have one last question that's written in, and it's about kind of broader international expansion. And they asked specifically whether you would be interested in branching out to the Middle East or Kuwait? But also maybe answer that in the context of kind of prioritization and where we are prioritized and perhaps why we're prioritized there.
Fabricio Bloisi: Let me tell you a few things. We have opportunities in Middle East, lots of them. We have opportunities in Africa. We started in Africa, and we have many business there. We have opportunities in Southeast Asia. So in U.S. So there are many possibilities to invest around the world. What I didn't like 6 months ago is that we are looking to all of them without putting 90% of our energy in some focus where we should be the best in the world and the best in that region. I think we are doing that different today. Our focus in Latin America, India and Europe. And 95% of the energy and capital of the company is to win on these 3 areas. We are going to win in the 3 areas. Then in the future, for sure, we are going to have a fourth area. Maybe when we win the 4 areas, we're going to have a fifth area. Until there, so our focus is aggressively on these 3 areas. We have legacy investments on all other areas, and we keep people doing experiments outside. So it's very different than doing like $1 billion check is to do a $5 million experiment on some of those areas. And we keep doing specifically in Middle East, for example, to learn, understand, start developing something. So in the future, we may prioritize that. So it's not our priority today, and we are aggressive -- we aggressively say this is our priority, let's focus on that. At the same time, this is ambidextrous behavior. We know that in the future, we have more things, and we keep experimenting very amount of resources, very entrepreneur behavior to test, to start to learn where is our next big bet. We are experimenting other things, but I think we should not talk about that today because we have our focus, and we have to win on those 3 areas.
Eoin Ryan: That's great. I think I'm worried about it beginning to rain, so we should -- so why don't we close if you want to...
Fabricio Bloisi: Look, today was the day to talk about numbers. I hope you enjoyed talking about numbers. Wednesday, we talk more about the ecosystem, innovation, strategy, culture. Many of your questions was related to that. Merchandise, don't miss Wednesday, I hope to see you all there personally. And my closing remarks, I'm very excited about the company now. I know I'm naturally optimistic. Some of you thought that I was when I joined it 1 year ago. I'm optimistic and then look to bottom line and results and discipline. So the good news is I look to bottom line results discipline, and I'm optimistic, and I am even more now because of the quality of the execution of the company today. So hope to have much bigger and better results to share with you in the future.
Nico Marais: Fabricio, we will talk about numbers on Wednesday.
Fabricio Bloisi: All right. Numbers too. [indiscernible]. You cannot miss it.
Eoin Ryan: All right. Thank you very much, everybody.
Fabricio Bloisi: Good to see you. See you Wednesday. Bye-bye.
Operator: This concludes today's call. Thank you, everyone, for joining. You may now disconnect.